Operator: Good morning, my name is Tia and I will be your conference operator today. At this time I would like to welcome everyone to the Weyerhaeuser’s fourth quarter earnings release conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remark there will be a question-and-answer period. (Operator instructions) I will now turn the conference over to Ms. Kathy McAuley. Ma’am, you may begin.
Kathy McAuley: Thank you, Tia. Good morning. Welcome to Weyerhaeuser’s fourth quarter 2009 earnings conference call. I am Kathy McAuley, Vice President of Investor Relations. Joining me this morning are Dan Fulton, President and Chief Executive Officer, Patty Bedient, Executive Vice President and Chief Financial Officer, Tom Gideon, Executive Vice President, Forest Products; and Larry Burrows, President, Weyerhaeuser Real Estate Company. This call is being webcast at www.weyerhaeuser.com. The earnings release and material for this call can be found at the website or by contacting April Meier at 253-924-2937. Please review the warning statements in our press release and on the presentation slides concerning the risks associated with forward-looking statements as forward-looking statements will be made during this conference call. This morning Weyerhaeuser reported a fourth quarter 2009 net loss of $1.75 million or $0.83 per share on net sales from continuing operations of $1.5 billion. For the full year 2009, Weyerhaeuser reported a net loss of $545 million or $2.58 per share, on net sales from continuing operations of $5.5 billion. Significant after-tax items in the fourth quarter were a benefit of $77 million or $0.36 per share for alternative fuel mixture credit, a charge of $67 million or $0.31 per share for real estate asset impairment, closures, restructuring and other charges. Our charge is $57 million or $0.27 per share for forest product asset impairment, closures, restructuring and other charges. Our charge is $19 million or $0.09 per share for the early extinguishment of debt. Excluding these items the company reported a net loss of $109 million or $0.52 per share. A GAAP reconciliation of special items is available on our website in the earnings information package. Please turn to chart four in the earnings information package, as I will discuss this waterfall chart. Chart four is a bar chart detailing the changes in contribution to earnings before special items, interest and taxes. Changes in Weyerhaeuser’s segment earnings from the third quarter to the fourth quarter were as follows Beginning with the first bar on the left-hand side of the page, in the third quarter of 2009, Weyerhaeuser earned $15 million before special items, interest and taxes. Proceeding from left to right across the waterfall chart, we will begin a discussion with Timberlands. Timberlands’ earnings were $30 million lower in Q4. This decline was driven by significantly lower harvest volumes and fewer sales of non-strategic timberland. Higher logging costs more than offset improvement in pricing mix. Wood products earnings were $31 million lower in fourth quarter; significantly lower production due to weak seasonal market demand resulted in higher per unit manufacturing cost. Average lumber prices declined 3% from the third quarter average. OSB prices were 6% lower and engineered wood products prices were flat. Cellulose fibers earnings were $10 million lower in Q4, an 8% increase in average pulp prices was more than offset by higher fiber maintenance and energy cost. Real estate earnings were $20 million higher than in the previous quarter. This improvement was driven by higher margins and a 54% increase in closing. Corporate and other expenses increased by $25 million, due primarily to foreign exchange and lease adjustments for transportation assets. The final bar to the right of the page is the fourth quarter loss of $61 million before special items, interests and taxes. Please note chart one, in the information package detailed, the Q3 and Q4 pre-tax contributions to earnings by segment before significant items as well as consolidated results. And now I'll turn the call over to Dan Fulton.
Dan Fulton: Thank you Kathy, and good morning. In our earnings release this morning, I voice confidence in our ability to deliver significantly improved operating performance despite the unacceptable 2009 financial results and continued challenges as we enter 2010. I’d like to spend my portion of today's call providing more detail and color to the items I outlined in my statement, because it will help set the stage for the comments from our team that’s following. Although I'll discuss each point individually, you should think of them as interconnected and encompassing our strategic approach to meeting the current challenges while positioning us to rebuild our revenues and earnings. Just to remind everyone, the areas of focus I outlined in this morning's release involved cutting costs, reducing production to meet demand, generating cash, deferring our harvest, improving long-term competitiveness across all business lines, growing with strategic customers and announcing our decision to convert to a real estate investment trust. I started my comment in the release by noting that we had cut costs, and that’s a good place to open my discussion on this call. As we said repeatedly, we must reduce our SG&A costs to make us more competitive, and by the end of 2009 we’d cut those costs by nearly $300 million. Our overall head count is down 26% because of the SG&A changes as well as reductions in operations. We made significant cuts in other expenses as well. This included redesigning our compensation and our benefits package for both active and retired employees. Each of our businesses has also aggressively reduced costs. With products, for example, was making fundamental changes that will carry into stronger markets. This includes lowering product inventories by applying well known lean manufacturing principles to lower inventory levels in our replenishment system. Closely coupled with the need to reduced costs is our strong focus on generating cash and maintaining liquidity. We ended the year with $1.9 billion in cash and strong liquidity. With a whole building and remodel markets of record growths [ph] demand for our products has dropped significantly. As I mentioned in our earnings release, we responded by deferring our harvest to preserve the long-term value of our timberlands and we’ve reduced production to meet demand. In some cases this involves changes to our operating posture such as eliminating shifts. In other cases we have used this opportunity to eliminate non-competitive males from our system to create a more efficient system that enhances our ability to capture the benefits to stronger market conditions. While meeting current market challenges is the keen focus we continue to invest in growing our businesses. When I mentioned growing with strategic customers in my comment this morning, one example of that was our announced plans to build a new cellulose fibers processing plant in Gdansk, Poland. But there are other opportunities as well. The world is demanding green solutions for energy and we have significant opportunities with our biomass initiatives. On Tuesday, we announced that we are collaborating with Mitsubishi Corporation to explore the possibilities of a strategic solid biofuel venture. Catchlight Energy are joint venture with Chevron to develop liquid fuel from biomass remains on track. Finally, I want to touch on our decision to convert to a real estate investment trust, the final item that I mentioned this morning. As we said in December when we announced our intent to elect REIT status, this represents a positive step in executing our overall strategic direction. The REIT structure best supports Weyerhaeuser's commitment to maximize our timberland returns by allowing us to become a more tax efficient and competitive owner, manager and buyer of timberlands. As I said in my statements this morning, we faced challenging markets as we enter 2010 because of the actions we have taken over the past year, and we’ll continue to take, I am confident we will deliver significantly improved operating performance. I’d like now to turn the call over to Tom Gideon, who will discuss the fourth quarter performance for timberlands, wood products and cellulose fibers.
Tom Gideon: Thank you, Dan. Our forest products businesses experienced a difficult fourth quarter, as the effect of the traditional seasonal downtime churn further compounded the challengers created by a weak housing market. I will start by discussing our timberlands business referenced on chart five. Timberlands revenues declined in the fourth quarter compared to the third as moderate improvements on Western Log realizations were offset by a significant decrease in sales volumes in both the west and the south. Harvest levels declined 21% versus the third quarter as we elected to defer additional volume to preserve value. Harvest levels in our southern operations were also reduced due to weather. Export realizations were unchanged from the third quarter while our volumes were down modestly. On the costs side, per unit logging and trucking cost increased as a result of lower harvest volumes and higher diesel prices. Minerals revenue declined in the fourth quarter compared to the third as third quarter included a one-time sale of mineral royalties. Our strongest minerals activity remains concentrated in the Haynesville Shale region. We had no significant sales of non-strategic lands in the fourth quarter. Fourth quarter included $15 million of impairment charges primarily associated with our joint venture sawmill in Brazil. Excluding those one-time charges the segment earned $28 million on fourth quarter operations. Harvest deferrals had a significant effect on our timberland segment in 2009, as our US harvest volumes declined 33% compared to 2008. We strongly believe that these deferrals remain an important way to preserve value for our shareholders and we will continue to defer harvest in 2010. I will now turn to wood products referenced in chart six and seven. Revenue for the segment declined 13% in the fourth quarter compared to the third as the normal seasonal slowdown plays downward pressure on sales volumes and realizations. Volumes declined across all product lines with engineered wood products down approximately 20% quarter-over-quarter and softwood lumber up 5%. Realizations for engineered lumber held up well throughout the quarter. Average quarterly realizations from most other products declined compared to the third quarter, though realizations did climb as the fourth quarter progressed. Ongoing efforts to balance production against demand resulted in 79 weeks of down time across our lumber system in the quarter representing 29% of available operating hours. We also increased downtime across most of our own lumber facilities. Although we have continue to reduce overall cost of production, unit manufacturing cost rose in the fourth quarter compared to third due to low production volume. This was particularly true for our softwood lumber facilities. Fourth quarter earnings for the wood product segment included $85 million in one-time charge, primarily for impairments and our engineered wood products and softwood lumber segments. Excluding those one-time charges, wood products lost $123 million on fourth quarter operations. These are unacceptable results, even though we have dramatically improved our costs structure from where it was a year ago. Comparing the full year 2009 to 2008 per unit manufacturing costs for softwood lumber have declined year-over-year despite a 29% drop in sales volume. We have held unit manufacturing costs for OSP flat in the phase of a 40% volume decline. SG&A expense has decreased by $103 million or 25%. Total wood products headcount has declined by 29% or nearly 3,100 positions versus this time a year ago. Though encouraging, these improvements are not sufficient unless we double our efforts to reduce expenses and increase margins throughout our operating system. Moving into 2010, we will continue to match supply with demand, improving operating efficiencies and totally scrutinize every use of cash. Finally, I will discuss our cellulose fibers business referenced on chart eight. Cellulose fibers revenues increased 4% in the fourth quarter compared to the third as average price realizations improved by $53 per ton. However, this additional revenue was more than offset by increased cost of production. Fiber cost increased substantially rising by $20 per ton in the fourth quarter as adverse weather in the US south [ph] reduced availability of both logs and solve my residuals. Energy costs also improved. Our New Bern, North Carolina mill completed and extended scheduled outage in the fourth quarter to perform annual maintenance and complete a capital project to rebuild the mills recovery boiler. This contributed to an increase in maintenance expense, which rose by $8 million in the fourth quarter compared to the third. Cellulose fibers results included $113 million of special items comprised primarily of $150 million and alternative fuel credits. Excluding special items the segment earned $34 million on fourth quarter operations. I will close my portion of this morning’s call with some brief comments about the Biomass Crop Assistance Program or BCAP. On February 3rd, US Department of Agriculture discontinued approval of new matching payment for BCAP. Our southern and western timberlands began delivering eligible biomass to third parties on January 15th. Prior to the February 3rd notice we had filed for BCAP matching payments of approximately $1 million based on one month of BCAP operations. However, the level of any future benefit will depend upon receiving further clarification on final program eligibility rules. I will now turn the call over to Larry Burrows who will discuss our real estate business.
Larry Burrows: On the supply side, the declining inventory homes for sale is largely offset by additional foreclosures creating further pressure on home sales prices. These trends are reflected in the key indicators table on chart nine. Comparing the fourth quarter of 2009 to 2008, WRECO’s sales increased 31% despite a 40% decline in traffic. Our cancellation rate improved by 14 percentage points to 27%, and our backlog of homes sold but not closed increased modestly to 650 units. However, the average price of homes closed declined by almost four percentage points versus one year ago. With respect to specific WRECO markets, Washington D.C., Houston and the Puget Sound began to firm in the fourth quarter as both employment and pricing showed early signs of improvement. While Los Angeles to San Diego have held up better due to our positioning within each market, they are not immune to Southern California's overall economic conditions, including above average unemployment. Phoenix began to lose momentum toward the end of last year reversing the improved sales velocity observed in mid-2009. Together with the Inland Empire in Las Vegas it remains one of our most difficult markets due to high unemployment and pricing pressure from accelerating foreclosures. Our financial results reflect a continued uncertainty in our markets. Earnings before special items improved in the fourth quarter compared to the third. However, that improvement was more than offset by increased impairment charges. Included in our $89 million fourth quarter charge to pretax earnings are $100 million in one-time charges is primarily attributable to a single large impairment in our Washington D.C. market. We also realized a loss of $10 million from the sale of land and lots located in Phoenix, Las Vegas and Southern California. Excluding the loss on land and lot sales and the one-time charges, WRECO earned $21 million on fourth quarter operations. I previously discussed actions that we are taking to improve our operating performance and generate cash. Although WRECO’s overall financial results are unacceptable, I am proud of our employees’ accomplishments in those two focus areas. In 2009, we reduced land spending, staffing, work-in-progress, standing inventory and costs of construction. We also successfully executed our strategy to divest approximately 5000 logs. This combination of operating costs improvement in sales of non-strategic assets yielded over $100 million of pre-tax operating cash flow in 2009 including positive cash flow from our core single family home building operations. 2010 will not be an easy year, but our improved cost structure better positions us to manage the changing market conditions we will continue to experience. I am optimistic that our cost discipline combined with the eventual stabilization in our markets will allow WRECO to re-emerge as a highly competitive profitable home building operations. I will now turn the call over to Patty to discuss the outlook for the first quarter. On the supply side, the declining inventory homes for sale is largely offset by additional foreclosures creating further pressure on home sales prices. These trends are reflected in the key indicators table on chart nine. Comparing the fourth quarter of 2009 to 2008, WRECO’s sales increased 31% despite a 40% decline in traffic. Our cancellation rate improved by 14 percentage points to 27%, and our backlog of homes sold but not closed increased modestly to 650 units. However, the average price of homes closed declined by almost four percentage points versus one year ago. With respect to specific WRECO markets, Washington D.C., Houston and the Puget Sound began to firm in the fourth quarter as both employment and pricing showed early signs of improvement. While Los Angeles to San Diego have held up better due to our positioning within each market, they are not immune to Southern California's overall economic conditions, including above average unemployment. Phoenix began to lose momentum toward the end of last year reversing the improved sales velocity observed in mid-2009. Together with the Inland Empire in Las Vegas it remains one of our most difficult markets due to high unemployment and pricing pressure from accelerating foreclosures. Our financial results reflect a continued uncertainty in our markets. Earnings before special items improved in the fourth quarter compared to the third. However, that improvement was more than offset by increased impairment charges. Included in our $89 million fourth quarter charge to pretax earnings are $100 million in one-time charges is primarily attributable to a single large impairment in our Washington D.C. market. We also realized a loss of $10 million from the sale of land and lots located in Phoenix, Las Vegas and Southern California. Excluding the loss on land and lot sales and the one-time charges, WRECO earned $21 million on fourth quarter operations. I previously discussed actions that we are taking to improve our operating performance and generate cash. Although WRECO’s overall financial results are unacceptable, I am proud of our employees’ accomplishments in those two focus areas. In 2009, we reduced land spending, staffing, work-in-progress, standing inventory and costs of construction. We also successfully executed our strategy to divest approximately 5000 logs. This combination of operating costs improvement in sales of non-strategic assets yielded over $100 million of pre-tax operating cash flow in 2009 including positive cash flow from our core single family home building operations. 2010 will not be an easy year, but our improved cost structure better positions us to manage the changing market conditions we will continue to experience. I am optimistic that our cost discipline combined with the eventual stabilization in our markets will allow WRECO to re-emerge as a highly competitive profitable home building operations. I will now turn the call over to Patty to discuss the outlook for the first quarter.
Patty Bedient: Thanks Larry, and good morning, everyone. Although overall market conditions continue to be difficult as we enter the New Year, they are much improved compared to a year ago. As we compare the first quarter outlook with the most recently ended fourth quarter there continues to be much uncertainty surrounding the strength of the recovery. I will begin the outlook for our business segment with timberland. Domestic log prices in both the west and south are expected to increase slightly over the fourth quarter as industry log supply tightened especially in the south due to unusually wet and cold weather. While fee volumes maybe up slightly as compared to the fourth quarter, we are continuing to defer overall harvest. Export volumes in prices are expected to be similar to the fourth quarter. We will likely have increased silvicultural spending and somewhat higher fuel cost in the first quarter. There were no significant sales of non-strategic lands in the fourth quarter. And before considering the effect of any sales that may take place in the first quarter, we anticipate that overall timberland earnings will be comparable to the fourth quarter. In wood products, sales realizations and volumes are expected to increase in the first quarter driven primarily by improvements in both lumber and OSP. Engineered wood realizations are likely to be similar to the fourth quarter on improving volume. While we are saying strengthening take place early in the quarter, it is hard to forecast the sustainability of the improved market given the uncertainty that exists in the overall economy, especially around housing. Raw material costs are expected to increase somewhat primarily due to rising log cost. Unit manufacturing cost should be lower as a result of improved operating rate. Losses in our wood products business are expected to be much lower in the first quarter compared to the fourth quarter. Sales realizations in our cellulose fiber segment are anticipated to increase in the first quarter. The low inventory situation that we saw in the fourth quarter is expected to continue leading to increased prices. On the expense side, fiber costs are expected to increase for our southern softwood mill, as the wet weather I referenced earlier could affect fiber availability. In addition, we anticipate increased costs associated with the first quarter maintenance outages compared with the fourth quarter. We expect that maintenance combined with rising fiber cost could offset the increase in sales realization, and as a result earnings in the first quarter are likely to be comparable to the fourth quarter after excluding the effect of alternative fuel mixture tax credits. Moving on to our real estate segment. The first quarter is traditionally the slowest quarter of the year for home closings. Closings in our single family home building business will be significantly lower in the first quarter. We expect to close less than 400 homes this quarter compared with the 778 closed in the fourth quarter. We also anticipate that margins will be lower due to lower average home price driven primarily by mix. As a result, we expect a loss in our single family home building business in the first quarter. However, we anticipate that this loss will be more than offset by the sales of two commercial partnership interests that contributed $33 million to earnings in the month of January. Therefore, excluding any asset impairment, we expect that real estate segment to be profitable in the first quarter. Now I will conclude with overall financial comments. Capital expenditures for Weyerhaeuser Company for the full year were $215 million. For 2010, we expect the net capital spending will approximate $200 million. This includes expenditures for reforestation. We ended the year with cash and short-term investments of approximately $1.9 billion. During the quarter, we received a $138 million from the pension trust as partial repayment of previous loan. The remaining $147 million is scheduled to be repaid in the first half of this year. In October, we issued $500 million of 10-year bond and retired over $400 million of debt. Our scheduled 2010 maturity are only about $40 million and are not due until the fourth quarter. In the first quarter we expect to spend approximately $150 million for a semi-annual interest payments as well as capital expenditures of over $50 million. We will be filing for our tax refunds of approximately $550 million, and we could receive those funds late in the first quarter or early in the second. And now I’ll wrap up with some comments on REIT conversion. On our December call, I mentioned that our earnings and profits, which must be distributed for a REIT conversion were estimated to be around $6 billion as of the beginning of 2010. We are finalizing that number but it may be somewhat less than $6 billion. In addition, the IRS had issued an extension of the revenue procedure that allows REITs to pay dividend with 90% stock and 10% cash. That extension is for two years 2010 and 2011. Well, the board has not decided how much to pay in cash. At 10%, the cash dividend required for a 2010 earnings and profits distribution would be less than $600 million. We do need shareholder approval to issue the additional shares for the stock portion of the dividend, and the request for that approval will be included in the upcoming proxy statement to be filed later this month. As we have previously stated, the earliest and most likely date for our conversion would be this year. We don’t have any further information to provide on this call that anticipate providing further clarity as the year progresses. With that, I’ll turn the call back to Dan and I look forward to your questions.
Dan Fulton: Thank you, Patty. As we open the call for your questions this morning, I am going to turn the call back over to Kathy McAuley, and Kathy will lead the Q&A.
Kathy McAuley: Sure, good. Thank you, Dan. To execute we’ll open up the call for questions.
Operator: (Operator Instructions) The first question will come from Peter Ruschmeier with Barclays.
Peter Ruschmeier – Barclays Capital: Thanks, good morning. Patty, I was curious if you could confirm if all of your gross debt resides in your legal structure, your taxable REIT subsidiary?
Patty Bedient: Well Peter, as we talked about before when we did the restructuring at the beginning of 2009, end of 2008, the primary debt that we hold at Weyerhaeuser Company is with our bondholders and the taxable REIT subsidiary that was set up with primarily our manufacturing asset assumed to the obligation from Weyerhaeuser Company to pay those bonds. So, while our debt actually resides at the Weyerhaeuser liability in terms of the original bond issuance, the obligation to pay that debt is the obligation of the TRS.
Peter Ruschmeier – Barclays Capital: Understood, okay. And just to clarify, Patty, is it true that your E&P for 2010 assuming a 2010 conversion that is calculated from the yearend financials of ‘09, is that correct?
Patty Bedient: Yes, that’s right.
Peter Ruschmeier – Barclays Capital: Okay.
Patty Bedient: So, we’ll be able to finalize that number here shortly. It is a taxable – or it’s a tax regulation calculation, so it’s not like our retained earnings on our financial statements, and that was the number that I was referencing that will be likely under $6 billion.
Peter Ruschmeier – Barclays Capital:
Patty Bedient: Sure. Let me go back to the beginning of the year as we talked about, so finalizing the amount of the earnings and profits. And then we will need the shareholder approval for the additional shares to be issued. The board will need to make a decision if we convert in 2010 or payout the E&P in 2010, what's the mix of stock and cash might be? The new piece of information that I shared this morning difference in the call was, traditionally when people have converted they have used as lowest 20% cash for that dividend. And we do now have the flexibility to use 10%, the board will have to make a decision as to what amount of cash they would authorize in that particular distribution. The distribution itself needs to take place or a 2010 conversion needs to take place by the end of 2010. So the board is carefully considering what that might be and the timing. In terms of the yearend, we would also need to make sure that we put that conversion in place, the mechanics for the conversion in place, probably no later than the end of the third quarter, beginning of the fourth quarter, even though you haven’t have yearend to pay it out, we will need to send out information to our shareholders about the amount of cash and stock in that distribution. They have the ability to make an election.
Peter Ruschmeier – Barclays Capital: Thank you Patty. I'll turn it over.
Patty Bedient: Okay, thanks Pete.
Operator: The next question will come from Chip Dillon with Credit Suisse.
Chip Dillon – Credit Suisse: Yes, just two questions. The first one is that, you announced the other day this new dissolving pulp substitute, I think pro 429, and what I want to ask you, is this sort of marking a re-entry into the specially dissolving market. I know you had existed I think with the Cosmopolis a few years ago, and how many tons could you see this ramp up to?
Dan Fulton: Well, Chip, we did announce that the introduction of our Pearl 429 which as we indicated is primarily going to be used in lacquers, paints, inks and thickening agents. And it can partially replace dissolving great pulps that are traditionally higher costs. We are still in a very early stage of marking this. We are encouraged by the customer response, but we expect that the markets for this will be relatively modest inside, but it will be a specialty niche market there that we think will create value in increased margins. And so, we look at this introduction of this product as just an ongoing part and example of the new specialty solutions that will bring into the market place that we believe will add value not only for ourselves but also to our customers.
Chip Dillon – Credit Suisse: So, you are saying maybe like less than 100,000 tons?
Dan Fulton: This time I wouldn’t want to speculate where that would go. We are in the very early stages of it, but we are obviously encouraged by the initial response so far.
Chip Dillon – Credit Suisse: Okay, just a last quick question is, you know, Patty thanks for the update on the how the EMP might work, and as you have gone through your shareholder list, obviously if you’re an individual or maybe even an mutual fund with a low basis and your owners are in the high tax bracket, you are basically going to force them to reduce your proportion of ownership in the company if you just do a 10% payout, but that maybe for the greater good if you are relatively small proportion. And so have you kind of done any analysis, and can you tell us about how you think about whether it’s going to be 10% or 15% or 20%, you know, specially about how much of your shareholders would be impacted by only getting 10%?
Patty Bedient: If I couldn’t give you any further clarification in terms of how many of the shareholders might be impacted by that and certainly it would take place at the time that the distribution would be made. What we have said in terms of the combination of cash versus stock, while it would be true that at 10% cash you would have to have additional cash to pay the tax, if you are taxable. And those dividends would be taxable at 15%. You will also if it’s at 10% be getting more shares than you would at a 15% cash distribution. And differently than some other distributions because this is taxable, shareholders will have full tax basis in those shares. So they could have left to sell those additional shares, take that cash to then pay the tax that would be due on the cash or on the total distribution. So it's difficult to say what portion of the shareholder base is taxable and what decision shareholders might make as a result of that, but they are net out of pocket at the end of the day. Cash perspective would be the same whether we did a 10% cash or a 15% cash because they’ll be getting more stock if we did 15%, or less stock if we did 15% than they would have if they got 10.
Chip Dillon – Credit Suisse: Thank you.
Operator: The next question will come from Mark Connelly with Sterne Agee.
Mark Connelly – Sterne Agee: Thank you. Two parts to my question, first is, with how weak that your business has been in terms of log sales over the last couple of years in these increased deferrals, is it enough to affect your timber rotations? And do we need to think about your wood makes any different, but in the past you made some strategic changes in the rotations. I am just wondering if this cumulative effects since 2006 might be big enough that we start thinking about your wood mix differently?
Dan Fulton: Well, I think Mark, over the long haul it won’t have a material impact as we go forward. We have obviously had deferrals in light of what the economics are, in terms of harvesting now as opposed to deferring for a few years. So, potentially if this was to continue for a very extended time, we might have to re-look at that. But, at this point in time now, we don’t anticipate making any substantial changes to our several cultural regions.
Mark Connelly – Sterne Agee: Okay. And if I could just ask one quick follow-up, your cancellation made obviously in the real estate business is better than it was in 2009, did you think of that as stabilized nor improving at this point?
Dan Fulton: I would hope Mark that certainly they were stabilized and we would hope that we would see some small improvement.
Mark Connelly – Sterne Agee: Okay, thank you.
Dan Fulton: Thanks, Mark.
Operator: The next question will come from George Staphos with Bank of America/Merrill Lynch.
George Staphos – Bank of America/Merrill Lynch: Hi, everyone, good morning. I just wanted to confirm, when we look at the free cash flow, obviously from very, very low levels, you nonetheless showed progress, it would appear that you were mostly positive on free cash flow, and it doesn’t look like there was much effect or benefit from the receipt of the alt fuels tax cut. I just wanted to confirm that to start?
Patty Bedient: Yes, George, this is Patty. We have just under $30 million of receipt of alternative fuel tax credits in the quarter. The remainder of those funds will be received in conjunction with the tax returns.
George Staphos – Bank of America/Merrill Lynch: Okay, thanks. Second question around free cash flow again, do you think there is further opportunity within the operating businesses to bring working capital down further or have you hit as much productivity and optimization as you will see at this juncture, said differently, can you just maintain more or less re-cash breakeven given the markets and holding pricing constant with current levels into the first several quarters of 2010.
Tom Gideon: George, this is Tom. We did over the last two years as we’ve gone through this downturn has really work our working capitals while reducing our operating costs. We did make substantial reductions in our working capital over 2009 compared to 2008. It doesn’t necessary have the same level of opportunity going forward but it is still an area that we’re going to continue to work diligently.
George Staphos – Bank of America/Merrill Lynch: Okay, so should we then assume just to conclude that now you can stay more or less around breakeven from a cash standpoint from here on now borrowing changes in the market?
Tom Gideon: Well, again we’re going to take a look at what we need to do against what the market does, and the demand that we can supply profitably, and that will dictate whether or not we stay or good to cost breakeven across the entire forest product segments.
George Staphos – Bank of America/Merrill Lynch: Okay. Last question, and I’ll turn it over, a similar type of question Tom for you. If we hold price constant, and given what you are seeing in terms of your conversion market, do you think we’re at a point where the wood products business can get to breakeven or better by the conclusion of 2010. And what is some of the parameters around that occurring or not as you think about them? Thanks very much. Good luck in the quarter.
Tom Gideon: Well, George, we’re encouraged by what we've seen obviously so far in January, but again the first four weeks don’t necessarily determine how the remainder of the year will go. We are presently surprised by the level of volume and demand that we see as well as the price depreciation that we have seen particularly in lumber and OSP. We think we have done a good job this year in reducing our costs and positioning ourselves to take full advantage of these improving markets. And as we look at it compared to 2008, our sales were down 43% or nearly $1.5 billion, and yet even despite those really difficult conditions we actually improved our operating earnings year-over-year by reducing our cost of goods sold and our SG&A. We are going to continue to work those things. We are going to take advantage of the market as they present to us. And as they say, the watchword is, hey let’s continue to rationalize our operations as appropriate. Let’s make sure that we are optimizing our core set of operations and matching supply against demand, and then we are going to continue to rigorously reduce costs where we can out of our system. With that no guarantees but we feel --
George Staphos – Bank of America/Merrill Lynch: Understood.
Tom Gideon: We feel much better about where we were at this time last year than going forward.
George Staphos – Bank of America/Merrill Lynch: All right. Thanks very much. Good luck in the quarter.
Patty Bedient: Thanks, George.
Operator: The next question will come from Gail Glazerman with UBS.
Gail Glazerman – UBS: Hi. Carrying on the last comment for a minute, can you talk a little bit more that any theories you have and what you are seeing in terms of wood products market which is obviously fairly unusual for this time of year?
Tom Gideon: Well Gail, as we look at that we think what we saw during 2009 was besides just great volatility there was a lot of destocking, I guess, at the inventory channel throughout the system and that wasn’t just at the producer level but that was all the way through the distribution channel, all the way, to our customers and when you took a long time for that to work itself out. So, at this point in time what we think we are seeing is a basically while we think as a motto maybe whatever normalized maybe, replenishment of inventory as product is sold, where people are buying on a more consistent basis, but at this point in time we're not willing to speculate whether or not we've seen any for underline demand increase at this point in time. So, we're taking a watch and see approach.
Gail Glazerman – UBS: Okay. And then similar question on asset sales, particularly land sales, lots sale and the timberlands in the west that you've been marketing. Can you give us an update on how the marketing on the timberlands is going, and what your plans might be for lot sales in 2010?
Dan Fulton: Okay. We'll start with timberlands and then we’ll move it to Larry after Tom comments.
Tom Gideon: Yes, Gail, we had announced earlier that we are at least exploring the potential sale of 88,000 acres of non-strategic timberlands in the west. We have been evaluating bids from interested parties. And again, what we'll do is we'll take a look at those as they come forth, and if they’re appropriate in their values that we feel good about then we'll consummate the sale. And that’s basically the status of where we are in that progress for those lands.
Gail Glazerman – UBS: And just, has interest been good or too early to say?
Tom Gideon: Say again, Gail, please.
Gail Glazerman – UBS: Has interest been good so far or just too early to say?
Tom Gideon: We have had very good interest, we're still trying to evaluate what that does in terms of how that translate into the kind of values that we think are appropriate for the quality of lands that we are offering for sale.
Gail Glazerman – UBS: Thank you.
Larry Burrow: Gail, as it relates to WRECO, about a year ago we talked about having kind of a change in some of our assets in where we had that kind of, define them as move them to non-strategic, and we talked about approximately 4,000 lots that we were looking to sell. And in my remarks this morning, we accomplished that and we actually did a little bit more of as we went out to the market. As we think about 2010, we have always kind of been long on land and we have been rewarded for that, and we think that in a market where you are seeing some land like builders there may be an opportunity at some point in time for us to be thinking about selling lots in a profitable basis. I am not saying that the markets come back and it is demonstrating that yet, but that’s kind of what we’re thinking about. Again, we’ll also be looking at our inventory in land and if we can improve it one way or the other, and if it means that we may have some other assets sales we kind of look at that as we get further into the year.
Gail Glazerman – UBS: All right. Thank you.
Operator: Our next question will come from Mark Wilde of Deutsche Bank.
Mark Wilde – Deutsche Bank: Good morning. And I just wanted to ask some questions mainly around timberland, is there any of that drop-off in the fourth quarter, was any of that weather related or was it all of that really just a financial decision?
Tom Gideon: Well, it was a combination as we went forward with some of our financial decisions. Some of it was the fact that we saw experienced lower demand which required less volume coming forward, and then in the south we did have weather restrictions somewhere in the magnitude of about 250,000 cubic meters that were strictly due to the poor weather conditions.
Mark Wilde – Deutsche Bank: Okay and then I am just curious, Tom, it seems like not only you but a lot of theme [ph] homes and private land owners have been holding timber off of the market because pricing and demand has been so weak, how do you think about sort of potential pent-up supply coming into the market when things start to pick up? Is this going to be an issue?
Tom Gideon: I can't really speculate on that, Mark, going forward, but what I can focus on is the real pressure for us is how we reposition ourselves for residential market recovery. So what we do is, we are ensuring that we have a broad base of both internal as well as third-party customers, both domestic as well as international that allows us to flow our logs to the best value. So for example, in this year we have actually reestablished good solid markets to China for volumes that they haven’t been taken in recent years. So in addition to that we’re maintaining our course set of harvesting capabilities that will allow us to increase harvest demand and values one. So, we are positioning ourselves based on what we know and against the customer base that we have established going forward.
Mark Wilde – Deutsche Bank:
Tom Gideon: We don’t forecast out beyond the quarter. We will see for the first quarter, we will see a seasonally improved volume compared to the fourth quarter but it will be down from 2009 first quarter.
Mark Wilde – Deutsche Bank: Okay. And then finally for Larry. I just wondered if you’d be willing to comment at all on a article that was in Wall Street Journal, I think yesterday just on consolidation and potential consolidation in the home building market. And I am particularly interested with you guys if you can give us any more color on how big the land book is particularly around San Diego and Los Angeles for you guys?
Larry Burrows:
Mark Wilde – Deutsche Bank: Okay. All right, that’s very helpful. And any thoughts on that article?
Larry Burrows: No, not, I really don’t want to get in a position to speculating what may or may not happen in terms of consolidating and what other guys might do, we’re kind of focused on kind of what we are doing.
Mark Wilde – Deutsche Bank: As you should be. Thanks.
Operator: The next question will come from Claudia Houston with JPMorgan.
Claudia Houston – JPMorgan: Thanks very much. Good morning. Just a couple of questions. Wondering, I was just curious if you have a housing outlook, housing stat forecast that you are working from for 2010 and then maybe how that’s changed, or if it’s changed from last quarter?
Larry Burrow: I will address that, Claudia. I don’t want to share our internal outlook. We have an internally generated forecast. We look at other sources of information. We are expecting improved conditions in 2010 versus 2009. We are expecting a slow steady recovery, and that is informing decisions that we make in our home building business as well as our wood products business and our timberlands business.
Claudia Houston – JPMorgan: Okay, thanks. And then shifting gears, on the, your corporate expenses sort of moved around a lot, I was wondering if have any guidance for 2010, a normal range for that? And then also any update on pension expense and any potential contribution for 2010?
Patty Bedient: Yes, Claudia, this is Patty. In terms of the corporate segment, it is as you think about forecasting it, difficult to forecast because it is where a lot of moving parts end up like foreign exchange, variable comp, and our transportation assets are in that segment as well. But if you think about going forward I would say something around the $15 million to $20 million a quarter, certainly at that level as we think about the first quarter is probably a good rule of thumb. I think you also asked about pensions, looking at pension and other post-retirement benefit. We don’t have the final number yet for the year of 2010, but I would expect that we will have a slight pension credit, and we will have other post-retirement expense, probably likely to offset each other as you think about it. So I would probably just keep that as a flat number. In terms of contribution that we look forward for the pension at 2010, speaking to the minimum contribution that we would be require to make, I think as we sit here today with the preliminary estimates that we have in, it looks like we may need to make a minimum contribution to one of the plans in the level of about $30 million. Now that will be for the year of 2010, but we have actually until the fall of 2011 to make that contribution. We’re also looking at whether or not we may want to make some voluntary contributions into those plants. So I hope that’s helpful.
Claudia Houston – JPMorgan: That is. Thank you very much.
Patty Bedient: Welcome.
Operator: The next question will come from Mark Weintraub of Buckingham.
Mark Weintraub – Buckingham Research Group: Thank you. Dan, last call you had finished up saying that the climate bill being debated and congress has the potential to have a meaningful impact on your timberlands activities. Any update on that?
Dan Fulton: Well, as you see what happened with healthcare, quite frankly, it's hard to speculate, Mark. Our view is that there is some renewed energy around attempted passage of a climate bill, we are keenly focused on what the outcome maybe as I mentioned in the call last quarter. There is potential impact on the operation and management of our timberlands. As we look at that resource we have certainly the potential for carbon credits. There are critical definitions around biomass that become addressed in both climate and energy builds. So, we are tracking closely, but I cannot handicap Congress at this point other than to say that we are engaged in the process and we are strongly representing the interest of our assets.
Mark Weintraub – Buckingham Research: Okay. Fair enough. And just a few clarifications, so the $550 million tax receivable that you are expecting to get in March or April, does that include the benefits from the alternative fuel?
Patty Bedient: Yes, it does, Mark.
Mark Weintraub – Buckingham Research: Okay. And so the $600 million that's on the balance sheet does that -- that also I take it and does include the alternative fuel mixture credits?
Patty Bedient: Yes. And the difference between the 600 and 550 is a combination of some State refund as well as some foreign tax credits that will be freed up, that will have to file amended return to get. So, those -- the remainder of that will likely come in over the remainder of the year.
Mark Weintraub – Buckingham Research: Okay.
Patty Bedient: And we would anticipate getting almost 550. Again, at the end of the first quarter at the earliest, but at the beginning of the second if not then.
Mark Weintraub – Buckingham Research: And then bringing two prior questions together, I know if you would be willing to give us an assessment on what type of housing start environment do you think is necessary for your key businesses to be in balance where you presumably can we start seeing profitability?
Dan Fulton: The goal in each of our businesses is to be profitable with the housing starts that were dealt, Mark. So we made significant improvements across our wood products business over the last year to drive down cost, to be more competitive, as Tom said to match our production with profitable demand. In the case of our real estate business, we came through this downturn, as Larry noted we had profitable single family operations in Q4, Patty talked about the first quarter activity, and as you know, in the first quarter starts are relatively low. And so you see a typical seasonal falloff, but we are projecting an increasing activity in 2010. And our goal in both of those businesses is to be profitable at the level of housing starts that we see in front of us.
Mark Weintraub – Buckingham Research: Okay, but I just want to make sure I’ve heard that right. So, you think it’s a realistic goal to potentially be profitable in the wood products as well as, of course, homebuilding business in 2010?
Dan Fulton: I’m not making a projection for profitability for the year. We provide guidance one quarter out, but our goal in all of our businesses is to be producing products at a profitable level. We certainly have our challenges in this downturn. So I can't project for the year, but we are making changes that we need to make in order to operate in the conditions that we find ourselves in.
Mark Weintraub – Buckingham Research: Fair enough. That’s helpful. Thank you.
Patty Bedient: Next question.
Operator: The next question will come from Steven Chercover with D. A. Davidson.
Steven Chercover – D. A. Davidson & Co.: Good morning, everyone. Just a couple of quick ones. First of all, with respect to Pearl 429, will sales prices and margins be similar to those of which left hold, can you give us a sense?
Tom Gideon: Again, what we anticipate is that margins there will be enhanced above the products that we currently have in the market place.
Steven Chercover – D. A. Davidson & Co.: Including fluff in that. Okay and then with respect to the REIT is it your opinion that it’s important to have a dividend that’s competitive with the peer group?
Dan Fulton: The board is carefully considering what the appropriate dividend level should be as we convert to a REIT that’s a significant focus for us this year. As Patty said, we have a shareholder growth that will occur at our meeting in April regarding the issuance of shares, and so, we are actively engaged in carefully considering what the appropriate dividend is going forward. And it’s really critical for us that we communicate that at the time that we announced the timing of conversion. So, we have got the April shareholder growth and we look forward to providing further guidance in May as we have our Investor Conference.
Steven Chercover – D. A. Davidson & Co.: And just as a follow on to that, if the EMP purge was done early well prior to the year end, would you have to start behaving as a REIT, by that I mean, paying the dividend that you assume is reasonable?
Patty Bedient: Steve, in terms of what we would do if we purged in 2010 and converted for the year of 2010, that means we would be operating as a REIT for the full year. In terms of the amount of the dividend, there are really two questions, one would be the amounts that we would need to distribute to our shareholders in order to not have to pay tax on that dividend. That dividend in terms of the level would likely be very low in 2010 given the amount of harvest deferral or qualifying timber income in this very depressed economic cycle. So I wouldn’t equate necessarily the two, there is amount that you would need to divest in terms to meet the – pass through tax rules and then there will be amount that the board will take – they will take that into consideration but then they’ll also look at just what would be the appropriate dividend level overall, so one minimum level driven by regulation, the other driven by dividend policy.
Steven Chercover – D. A. Davidson & Co.: Thank you very much.
Operator: The next question will come from Paul Quinn of RBC.
Paul Quinn – RBC Capital Markets: Yes, thanks, just follow-up questions on the strength in building material markets. We are seeing a pretty strong lumber pricing rally right now, just wondering in term of, I guess the question is, are you seeing signs of improvement on the lumber demand or is this simply restocking?
Dan Fulton: Well, again as I mentioned earlier, it's again too early to tell. We certainly believe that there is some restocking and replenishment that’s going on. And we do see the downstream replenishment being on a more on a, I guess consistent basis in terms of how often that they do replenish, but in terms of whether that’s truly an indication of underlying demand is going to be stronger and the timing of that, it still is tricky for us to tell. But we certainly are enjoying the improved lumber in our realizations as we speak.
Paul Quinn – RBC Capital Markets: You’ve taken a wait-and-see approach, I guess, on increasing production but for the industry as a whole, what’s your assessment of the ease of increasing production?
Larry Burrow: I really can speculate on what the industry as a whole is doing, but as I have indicated on prior calls, we actually are on a weekly basis evaluating market conditions against where we are and supplying product to the market. And so, we do try to make real-time decisions in terms of what’s appropriate, in terms of the supply that we bring forward.
Paul Quinn – RBC Capital Markets: Okay, And then just lastly just on Chinese markets for logs and lumber, it has created some excitement up here in my province DC, just wondering whether you are seeing the same sort of level of pick up?
Dan Fulton: Well, we are certainly seeing on the log supply component there, Paul. But what we have actually seen over the last year, we have seen an increased takeaway of what would typically have been a domestic GC type quality of log going into the construction market in China. We do have takeaway of lumber into China primarily from our Canadian operations, but at this time the predominant amount of volumes that’s going here is basically lower-grade material. Now this is an area that has opportunity, but we’re obviously going to monitor it appropriately and if it materializes we are certainly going to participate appropriately.
Paul Quinn – RBC Capital Markets: Thanks guys. Best of Luck.
Kathy McAuley: We have time for one more question here.
Operator: Yes, Ma’am. Our final question will come from Joshua Zaret with Longbow Research.
Joshua Zaret – Longbow Research: Thank you. I have three quick questions. First, when you report on real estate earnings for the first quarter, are you going to treat the contribution, the 33 million contribution from the sale of the partnership increase as your current income or you’re going to treat that as unusual income? And the reason for that.
Patty Bedient: That will be a part of our regular segment mostly likely Josh, because we do have partnership interest that we are participating in as a part of the business, and it is not unusual for us to have sales of partnership interest, if you look back to the segment you will see those. But, when we do have them, we try to isolate those and give you information around them, so that you can separately evaluate our home-building business, our partnership investments, which are all part of the business of the real estate segment.
Joshua Zaret – Longbow Research: Okay, so you will include, I just want to make sure you are all on the same level, but one missing line. You reported fourth quarter real-estate earnings in the release as 21 million and in your handout as 11. Clearly that’s the loss on the land of lots sales. I would think that would be included in your income and use the 21 because it seems to be recurring but why do you have two different numbers, is there something that obviously should be one number? And which one should it be in your opinion, 21 or 11?
Patty Bedient: Well, again, land and lot sales are not an abnormal part of the business of our real-estate segments. We try to be very explicit in terms of giving you information about what the various pieces of the real-estate segment has to do. So land and lot sales marked as of $10 million although it's a little larger number than normally because as we talked about in fourth quarter, we moved the significant amount of lots to take advantage of some tax losses that were in those sales, and....
Joshua Zaret – Longbow Research: I don’t disagree with that, I would just hope you would be consistent on your material since it does create some confusion there. And then my last question, Tom, you talked about your timberland sale, can you sort of give us species age class, et cetera, so we can sort of get a feel for what you are selling?
Tom Gideon:
Joshua Zaret – Longbow Research: Yes, it sounds like that, great. Those were my questions. Thank you very much.
Tom Gideon: Okay?
Kathy McAuley: Thank you. Dan?
Dan Fulton: I would like to make a couple of final wrap-up comments as we end the call. I would like to talk about our safety performance during 2009. Those of you on the phone will follow this know that operating safely is a core Weyerhaeuser value. We care about safety because of a concern for the wellbeing of our employees, because we believe there is a high correlation between safety performance, operating efficiency and product quality, because our safety record translates directly into lower operating and employment costs and because it’s simply the right thing to do. For those of you who have had the opportunity to visit our operations whether in the woods, at our plants and mills, our home building projects or even in our offices, you know that all of our employees are keenly focused on keeping everyone on all of our sites safe. As a result of this long-term commitment to improving safety across the company, we ended 2009 with an annual recordable incident rate of 0.62, which is the lowest in our history and the best in the industry. I am taking the time to share the good news in order to recognize the accomplishments of our employees but more importantly to make another point. Our success in safety management shows what's achievable if we are relentless in holding ourselves accountable to a clear objective. I'm committed to focusing that same levels of commitments across our entire company to deliver the financial results that our shareholders deserve. As I stated at the top of this call, our company has been operating in an extremely difficult economic environment since the precipitous downturn in the US housing began. And in order to weather this storm, our employees, our retirees, our operating communities and our shareholders have all made sacrifices. I want to thank all of you for your support during this difficult period, entering 2010 in a still uncertain and fragile environment, I'll state again that I'm confident that we will deliver improved financial performance. And I thank you all for taking the time to join us this morning.
Operator: Ladies and gentlemen, thank you for participating in today's conference call. You may now disconnect.